Operator: Hello. And welcome to W. P. Carey’s Fourth Quarter and Full Year 2023 Earnings Conference Call. My name is Daryl, and I’ll be your operator today. All lines have been placed on mute to prevent any background noise. Please note that today’s event is being recorded. After today’s prepared remarks, we will be taking questions via the phone line. Instructions on how to do so will be given at the appropriate time. And I will now turn today’s program over to Peter Sands, Head of Investor Relations. Mr. Sands, please go ahead.
Peter Sands: Good morning, everyone. And thank you for joining us this morning for our 2023 fourth quarter earnings call. Before we begin, I would like to remind everyone that some of the statements made on this call are not historic facts and may be deemed forward-looking statements. Factors that could cause actual results to differ materially from W. P. Carey’s expectations are provided in our SEC filings. An online replay of this conference call will be made available in the Investor Relations section of our website at wpcarey.com, where it will be archived for approximately one year and where you can also find copies of our investor presentations and other related materials. And with that, I’ll hand the call over to our Chief Executive Officer, Jason Fox.
Jason Fox: Thank you, Peter, and good morning, everyone. Today, I'll briefly recap 2023, talk about how we're positioned for the year ahead with significant capital ready to deploy and an improving transaction market outlook. Toni Sanzone, our CFO, will focus on some of the details of our 2023 financial results in our 2024 guidance, both of which reflect the impacts of successfully executing on the office exit strategy we announced in September. Toni will also cover certain tenant specific impacts we expect in 2024, which our guidance also reflects. John Park, our President; and Brooks Gordon, our Head of Asset Management are also on the call to take questions. Starting with external growth. The 2023 transaction backdrop was largely a continuation of the one that existed in 2022, with cap rates lapping rising interest rates. Preserving investment spreads without resorting to investing in riskier assets therefore remained a high priority for us. In the U.S., interest rates continue to move higher for most of the year, reaching a peak in October. Their leasebacks, however, remain an attractive source of capital for companies as high yield debt and other financing alternatives became very expensive. In April, we completed our single largest ever investment with the Apotex sale-leaseback on a portfolio of 4 Pharmaceutical R&D and Advanced Manufacturing campuses. That was a new industrial subsector for us, but shares many of the key characteristics with other industrial assets invest in, including critical operating properties backed by tenant business with reliable cash flows on a long-term lease with attractive rent bumps. We've also expanded our focus to include more U.S. retail and now have investment officers dedicated to that sector. As a result, we completed a handful of retail transactions in 2023 across various subsectors and are exploring others, both in the U.S. and Europe. Focusing on those we believe we can achieve terms and structures consistent with those we get on our other property types. In Europe, a steep rise in interest rates resulted in wide bid ask spreads and a pronounced slowdown in transaction activity throughout 2023. We continue to find pockets of opportunity, however, and in November, completed a $157 million cross border sale-leaseback of 11 manufacturing facilities in Italy, Spain and Germany with Fedrigoni, which is a global manufacturer of specialty papers for premium packaging and labeling. Investment volume for the fourth quarter totaled $346 million at a weighted average cap rate of 7.7%, which brought overall investment volume for 2023 to $1.3 billion at a weighted average cap rate of 7.6%. Single tenant industrial and warehouse assets represented about three quarters of our full year investment volume. And given the execution of our exit from office, now makes up a larger majority of our portfolio. Industrial and warehouse are very broad categories, however, comprised of many subsectors providing both a wide investment opportunity set and added diversification. Sale-leasebacks, which have the advantage of enabling us to structure the lease terms, represented close to 90% of our 2023 investment volume. Going forward, we will continue to focus on originating investments through a sale-leasebacks and build to suits in order to achieve the strong rent escalations, long lease terms and robust protections we're able to get through restructuring. Looking ahead, I'm pleased to say that in recent months, the outlook for the transaction environment has improved, both in the U.S. and Europe. Today, we're able to transact at cap rates well into the 7s, providing an attractive spread to our cost of capital. We're also seeing some pent-up supply from sellers and expect to pick up in corporate M&A, which often creates sale-leaseback opportunities. If market conditions play out as we expect, we believe we're very well-positioned for higher investment volume in 2024. While it's still early, five weeks into the year, we've completed investments totaling $177 million and have over $100 million of capital investments and commitments scheduled to complete in 2024, in addition to an acquisition pipeline that continues to build. One aspect of our positioning for 2024 that I want to highlight is our substantial liquidity position. At the end of 2023, we had over $600 million of cash on our balance sheet. Since then, we've paid down some debt and funded some acquisitions with our cash, including paying down our credit facility with proceeds from the Spanish government disposition. After the sale of the U-Haul portfolio for approximately $465 million our cash balance will be close to $1 billion. With the additional cash we expect to generate from remaining office asset sales, plus free cash flow after paying our dividend, we could have close to $1.5 billion of cash to invest in 2024. We will also continue to have our $2 billion revolver to fund deals or address debt maturities in the short-term. And as we've discussed in the past, we have some unique additional internal sources of capital over the longer term, including our equity stake in Lineage Logistics, which we currently have marked at approximately $400 million. We view our cash position and internal sources of liquidity as meaningful differentiating factors compared to many other net lease REITs. We don't need to raise new capital to fund investments. We have a lot of flexibility on how we approach any new capital markets issuance this year. Our equity multiple has improved since we announced our office exit and benefited from the broader rally in REIT equities since the Fed signaled the end of its tightening cycle, notwithstanding some weaker performance in recent weeks. The liquidity of our stock has also benefited from our recent addition to the S&P 400 Index. So far in 2024, bond markets have generally been supportive of new reissuance with rates coming off their 2023 highs and spreads compressing. Despite the substantial capital we've built-up, we remain mindful of our overall cost of capital and achieving appropriate returns on our investments. Deals with going in cap rates in the 7s and ramp bumps over long lease-term that take their unlevered returns into the eights and nines provide an attractive spread even if funded with newly issued capital. They are therefore also deals we're very comfortable executing with the liquidity we have on hand. So we continue to have a strong bias to deploy cash into new investments. Lastly, I want to briefly discuss the progress we've made with the office exit strategy we announced in September, laying out an ambitious plan to proactively exit our office exposure over an accelerated timeframe. We're successfully and efficiently executing on that plan and I could not be proud of our employees, the dedication and hard work they've shown, both in the lead up to the announcement and in the time since. In addition to the 59 properties that were spun off into NLOP in November, to date, we've sold 79 of the 87 properties under the Office Sale program, the largest component of which was the State of Andalusia portfolio sale we completed in January. All of which has reduced our exposure to office to just 2.7% of ABR. We're actively working on transactions to sell the remaining properties and expect to reduce our office exposure to a negligible amount over the coming months. Exiting office over a short space of time has reset the baseline from which we will grow AFFO. Without the headwinds associated with owning office assets. Since our announcement, office fundamentals have remained under pressure, while our multiple has expanded, reinforcing our conviction in the strategy and benefiting our cost of equity, making us more competitive on deals we're able to achieve wider investment spreads, thereby enhancing our ability generate AFFO growth. And with that, I'll pass the call over to Toni.
Toni Sanzone : Thank you, Jason, and good morning, everyone. This morning, we reported AFFO per diluted share of $1.19 for the 2023 fourth quarter and $5.18 for the full year, which were 7.8% and 2.1% lower versus the prior year periods, respectively, driven by our exit from office assets, including the spin-off of NLOP in early November. During the fourth quarter, we sold 17 properties for gross proceeds of $266 million including the sale of 7 properties for $132 million under our Office Sale program, bringing total dispositions for the year to $462 million. Our fourth quarter disposition activity also included the sale of five Marriott Hotel operating properties for $84 million. We've now sold 8 of the 12 Marriott Hotels that converted from net lease to operating properties in January of 2023, and we expect to sell one additional Marriott Hotel this year. The remaining three will be held for redevelopment over the next few years, but will continue as operating properties throughout 2024. In January of this year, I'm pleased to say we completed the sale of our largest office asset, State of Andalusia portfolio for approximately $360 million. This, along with the sale of another office asset in January, brings gross proceeds under the Office Sales program in 2024 to $388 million and the total to date to $608 million. Looking ahead to 2024, our guidance assumes office sales totaling between $550 million and $600 million including the $388 million already completed with the remaining sales under the program weighted to the first half of the year. Our disposition guidance also includes the sale of the U-Haul net lease self-storage portfolio through the exercise of its purchase option for approximately $465 million. We expect to receive the proceeds in tranches during the first quarter and have collected the full first quarter of rent on the portfolio totaling $9.7 million. Ordinary course dispositions in 2024 are expected to total between $150 million and $350 million, which includes the Marriott operating hotel I mentioned earlier. During 2023, our net lease portfolio continued to benefit from the high proportion of rents generated from leases with increases tied to inflation, even as inflation remained well below its 2022 peak both in the U.S. and Europe. This is reflected in the 4.1% year-over-year contractual same rent growth we reported for the fourth quarter. Based on current inflation forecasts, we expect our contractual same-store rent growth to be close 3% for the 2024 first quarter and moderate to an average in the mid to high 2s for the full year. Comprehensive same-store rent growth was 2.3% year-over-year for the fourth quarter driven lower by the lease expiration on a large warehouse property, which previously generated ABR of $6.2 million. This vacancy also reduced our net lease portfolio occupancy to 98.1% at year-end. As we work to re-tenant the property over the near-term. We are currently in active negotiations to re-lease the property at or potentially slightly above the prior in place rent, although our guidance assumes downtime on the property for most of 2024. While our historical with rent loss has been relatively negligible, our outlook for 2024 reflects our expectations on two specific assets which we're closely monitoring. First, we are proactively working with one of our top 10 tenants, Hellweg, a do it yourself retailer in Europe to restructure and extend its leases as it works to improve its financial position. Although this is a developing situation, our guidance currently assumes a rent abatement on this portfolio for the first quarter totaling $7.5 million and a reduction in annual rent going forward from approximately $30 million of ABR to an estimated $26 million. Second, the tenant of four cold storage and fruit packing facilities we own in Central Valley, California, which produces $5.2 million of ABR, has been operating in bankruptcy. While the tenant is current on rent through the end of February, we expect our lease to be rejected. Our guidance therefore assumes no additional rents from this tenant in 2024 as we work through a resolution and carry the properties vacant. In aggregate, our guidance assumes these two tenant situations have an estimated $0.07 impact on our 2024 AFFO through a combination of lost rent and carrying costs partly offset by lower income taxes. Incremental to this, our guidance includes a normal course rent contingency of around 70 basis points of ABR. Other lease related income for the 2023 fourth quarter was $2.6 million bringing the full year total to $23.3 million slightly below our expectations as certain lease related negotiations were pushed into 2024. For the 2024 full year, we are currently this line item to total in the low to mid $20 million range with visibility into almost half of that based on negotiations currently in process. Our operating property portfolio currently comprises 89 self-storage properties, 5 hotels and 2 student housing properties, which are expected to generate between $85 million and $90 million of NOI in 2024 with approximately 80% coming from self-storage. Our 2024 guidance assumes same-store NOI from our operating self-storage portfolio is relatively flat to the prior year. Asset management fees and reimbursements totaled $2.1 million for the fourth quarter, primarily reflecting a partial period as the external manager of NLOP. For 2024, we expect our administrative reimbursement from NLOP to total $4 million, which is fixed over time, while our asset management fees are expected to total between $5 million and $7 million, declining over the course of the year with asset sales. As a reminder, both of these items have no impact on our G&A expense. Non-operating income totaled $7.4 million for the fourth quarter, driven primarily by $4.6 million of interest income on cash and realized gains on currency hedges of $2.9 million. For the full year, non-operating income totaled $21.4 million comprised of $14.5 million in realized gains from currency hedges and $6.9 million of interest income. Our 2024 guidance assumes non-operating income totaling between $32 million and $36 million, including interest income on cash totaling between $19 million and $23 million, which is expected to be higher early in the year and decline as we invest this cash. It also assumes that currency rates remain at or around their current levels, which would result in expected gains from currency hedges of approximately $10 million. Our 2024 guidance also includes a $3 million dividend from Lineage Logistics, which we received in January of this year and will flow through non-operating income in the first quarter. Non-reimbursed property expenses for the fourth quarter were $13.3 million bringing the full year total to $44.5 million, which included a property tax accrual reversal approximately $6 million early in 2023. For 2024, we expect non-reimbursed property expenses to total between $41million and $45 million, reflecting a reduction in expenses associated with the office assets we have exited partly offset by an expected increase in carrying costs related to the vacancies, which I discussed earlier. G&A expense was $21.5 million for the fourth quarter, bringing the full year total to $96 million. For 2024, we expect G&A to fall between $100 million and $103 million, reflecting inflationary increases. G&A expense typically trends higher in the first quarter, given the timing of certain payroll-related items. Tax expense on a cash or AFFO basis, which primarily reflects foreign taxes on our European assets totaled $11.2 million for the fourth quarter and $44.3 million for 2023. For 2024, we are anticipating these taxes total between $38 million and $42 million in our guidance. Turning now to our 2024 guidance. We expect to generate full year AFFO per share between $4.65 and $4.75, with the decline versus 2023, driven primarily by the full year impact of the NLOP spin-off, and the completion of the Office Sale program. Guidance assumes full year investment volume of between $1.5 billion and $2 billion and reflects the timing of investments and dispositions with volume expected to be more back-end weighted, while dispositions are more front-end weighted, driven primarily by the State of Andalusia office portfolio sale and the U-Haul purchase option. Moving to our capital markets activity and balance sheet. We settled all outstanding equity forwards during the fourth quarter, issuing 4.7 million shares for net proceeds of $384 million shortly before the NLOP spin-off. In December, we completed the recast of our unsecured credit facility, pushing out the maturity on a significant portion of debt maturing over the next few years. We upsized our existing multicurrency revolver from $1.8 billion to $2 billion and pushed its term out four years to February of 2029. As part of the recast, we also refinanced our euro term loan and a pound sterling term loan, extending their maturities three years to February of 2028, with the option to extend for a further year subject to certain conditions. The extension and upsizing of our credit facility demonstrates the continued strength and flexibility of our balance sheet as well as the breadth of our valued banking relationships with 16 lenders participating. It also enhances our liquidity, further supporting accretive external growth going forward. Turning now to the strength of our liquidity position. During the fourth quarter, the significant amount of capital came back to us, including the distribution we received as part of the spin-off of NLOP and from the settlement of all outstanding equity forwards. We ended 2023 with total liquidity of $2.2 billion, including $634 million of cash. We expect our liquidity position to further increase during the first quarter, driven primarily by proceeds from the office sale program and the U-Haul disposition. As a result, we will remain exceptionally well-positioned to both fund our acquisitions and manage our debt maturities in 2024, which, as Jason noted, gives us plenty of flexibility and allows us to be very opportunistic when we choose to access the capital markets. At year-end, our leverage metrics remained well within our target ranges with debt to gross assets at 41.6%, which is at the low end of our target range of mid- to low 40s. Net debt-to-EBITDA was 5.6x relative to our target range of mid to high 5x, although we expect it to be in the low 5s during the first half of 2024 as disposition proceeds are redeployed into new investments before returning to our targeted range in the second half. Lastly, regarding our dividend. During the fourth quarter, we reset our dividend about 20% lower to $0.86 per share reflecting the impact of office exit strategy on AFFO and the lower targeted payout ratio, reducing our target payout ratio to a low to mid-70% range enables us to retain and accretively reinvest greater internally generated cash flow. Going forward, the intention is to grow our dividend in line with our AFFO, which we anticipate will be our dividend growth compared to recent years. In closing, 2024 is a transitional year, primarily reflecting the execution of our office exit strategy and establishing a new baseline from which to grow our AFFO in forward. We believe we're very well positioned to generate FFO growth over both the near term and long-term, supported by an improving investment environment, a strong balance sheet and an exceptional liquidity position as well as the embedded rent growth within our portfolio of high-quality, primarily warehouse and industrial net lease assets. And with that, I hand the call back to the operator for questions.
Operator: [Operator Instructions] Our first questions come from the line of Brad Heffern with RBC.
Brad Heffern: On the guide, it seems like the offset to the investment volumes moving higher with these two credit issues and the warehouse lease expiration. I guess, first of all, is that correct? And is that the full extent of the offset? And can you confirm that those issues weren't consulted in the prior guide?
Jason Fox: Toni, do you want to take that?
Toni Sanzone: That is correct. I got that. Brad, that is correct. The impact that I highlighted on the call was about $0.07 that was not contemplated in our preliminary guidance. And in terms of the offset, I think there were a handful of items. We went out with a fairly wide range three months ago. Things have come into focus since then. I'd say a handful of things aggregating to the delta there is probably better line of sight on releasing assumptions and rent recoveries. And then just generally a better outlook on interest-based rates since early November. So that in combination with the Lineage dividend, which we have not anticipated in our November guidance, really is largely offsetting that, keeping us at about the $4.77 midpoint.
Brad Heffern: And then I think your recent commentary on the watch list had been relatively unconcerned. I guess did these two credit issues largely come as a recent surprise? And is there anything else that we need to be keeping an eye on in addition to those?
Brooks Gordon: This is Brooks. So it's really both. So one of them was on the watch list, and the situation with Hellweg that Toni described hadn't been, that was really a very late in the year development. They now are on our watch list. And as we mentioned, we're proactively addressing that situation, but the other tenant was on the watch list.
Brad Heffern: But nothing else notable in terms of movement in the watch list?
Brooks Gordon: No. The big story is really adding Hellweg outside of that, the watch list actually came down somewhat. So in total, that's -- it's around 4.25%. So that's certainly up, but the real addition there is Hellweg outside of that, the net reduction in ABR on watch list.
Operator: Our next questions come from the line of John Kim with BMO Capital Markets.
John Kim: So on the Hellweg rent reset down about $4 million. Is there an EBITDA rent coverage metric that you could look at that shows that this new rent is sustainable? The reason why I asked is you had also runs abatement on top of that. So it seems like a further rent cut may be necessary.
Brooks Gordon: Yes. So as I mentioned, we're working in conjunction with their other landlords as well to really put them on a better trajectory. So a very sharp slowdown in our business towards the end of last year. The rent abatement, combined with the ongoing rent reductions across their real estate portfolio, we think puts them in a much better position. We will keep them on our watch list because we need to see real execution there. From a coverage basis, they're coming off a very slow period, but we would expect this to be kind of in the 1.25 coverage range before they execute on what we think is a robust turnaround plan. But again, we're going to watch them very closely, but we do think the proactive actions that we and other stakeholders are taking puts them in a much better place to operate through this.
John Kim: And how do you define your watch list? Is it -- if the tenant starts paying their rents late? Or do you have any other visibility or metrics that you look at that provide some clarity on who may be at issue paying rent going forward?
Brooks Gordon: Yes. The watch list is really meant to be a tool for us to monitor tenants that we think could be at risk of default in a 12- to 18 months’ time frame. And so that includes tenants that are operating in bankruptcy, as well as tenants where we see a potential risk of default in the future. I'll note that, that methodology has been consistent for a very long period of time to -- And over that time frame, some of the tenants on the watch list actually do end up defaulting. It certainly does happen, but it's really a management tool for us to track and monitor that. So it's meant to be forward looking, and that's really kind of the time frame we have in mind.
John Kim: I'm just wondering with one of the tenant issues you didn't have the money to watch list last quarter. So it obviously came as a surprise. Yes. I mean the question is that these can be others that are not on your watch list today that could pop up.
Brooks Gordon: Yes. Certainly, Hellweg rapidly developing situation. Really, that came into play at the very end of last year. It's a company that operates with a higher leverage point and a somewhat smaller overall scale. But they've operated very consistently for 20-plus years with that set up. And a variety of factors really contributed to what we saw as a very quickly evolving situation. And so we really wanted to be proactive work with their other stakeholders to put them on a better path. So agreed that wasn't one we had seen a year out, but it's something we're addressing proactively and working through it.
Operator: Our next questions come from the line of Anthony Paolone with JPMorgan.
Anthony Paolone: So Toni, on the same-store, I guess you gave the contractual expectations that close to 3% in the first quarter and then drifting down. But like, I guess, if we incorporate the industrial vacancy, these couple of credit items, and then I guess you said another 70 bps, like where does that land us from just a core number for '24 or like on a comprehensive basis?
Toni Sanzone: Yes. I think the expectation, especially with the rent abatement for Hellweg expected to happen in the first quarter is that would be most negatively impacted our first quarter and then that would sort of stabilize, but still be down over the course of the year kind of reflecting the various items that I highlighted. So I do think that from a comprehensive same-store standpoint, we are looking at a relatively flat year on a full year basis.
Anthony Paolone: And then, I mean, for the cold storage facility, for instance, like what is recovery for an asset like that look like? Like does it have to get released or just a new agreement with the existing operator like what happens with the like that?
Brooks Gordon: Yes. So these are cold storage and fruit packing facility is really right adjacent to the farmland in the Central Valley. So they remain very critical for address operating at farmland, where we are right now is working through the resolution to find the operators of that farmland. And so that land is being sold, and we're in close contact with the buyer pool on that. I'll note our rents are quite low there. It's around 350 per square foot. So we think these facilities will be very attractive and critical to operating land. That said, our guidance, as Toni mentioned, includes vacancy for the remainder of the year in those assets.
Anthony Paolone: And then maybe for Jason, the $1.5 billion to $2 billion of investments that you're assuming in guidance, can you maybe help us with just your confidence level? You talked about the skew towards sale leasebacks, which just intuitively seems to maybe a bit more idiosyncratic than just being in the market day to day for secondary deals. And so with that level of volume and just the skew towards the deals that you like to do, like I don't know, I guess, just help us with the confidence level there that you'll get there.
Jason Fox: Yes, sure. I mentioned earlier, we've closed about $200 million of deals year-to-date and be a little underneath that. And then we have another $100 million of capital projects and loan commitment fundings that we expect to complete this year. So a month, five weeks into the year, we have clear visibility into $300 million. And then the pipeline is building, and I think that 2024 is shaping up to be a pretty interesting environment. I mean our view is there is a meaningful pent-up supply of sellers that are out there, both in the U.S., but maybe even more so in Europe actually, given the spike in rates that we saw there over 2023. I think that led to persistently wide spreads and frozen transaction markets. I think sellers' expectations have adjusted some. And then with interest rates having come down, that's really allowed us to get a little bit more aggressive on pricing, lean in deals where we think we have a lot of interest, and I think that combination should help open up deal flow. And you mentioned sale leasebacks. I think it's especially true there. I think that environment is still quite strong. It's a very attractive option for corporates and sponsor-backed companies, in particular, those just below investment grade that have fewer cheaper options to fund deals. We think the private bid competition has remained thinned out. The CMBS markets are still not quite back. They remain constrained and unreliable. So I think that's going to help competitive position. And we're seeing opportunities. We also mentioned the capital position we're in, which is probably as strong relative to our peers as we've ever been in sitting on as much cash as we are. So we do like how we're positioned. We do think the environment is interesting. We have the bias to put that capital to work. But of course, we don't have visibility into a full year at this point, and a lot of things have to come together. But we feel good about that guidance range at this point in time.
Operator: Our next questions come from the line of Smedes Rose with Citibank.
Smedes Rose: I just wanted to ask you a little bit about the final exit from the office space. It looks like the time line has extended a little bit from kind of early 2024 -- to do the first half of '24. Is there anything that's delaying that? Or you just have a little more or maybe less visibility on that sale? And is that supporting some of the, I guess, your unchanged midpoint earnings outlook for the year by owning them a little longer?
Jason Fox: Brooks, do you want to take the first after that? Maybe Toni can take the second half.
Brooks Gordon: Sure. Yes, as I mentioned, we still continue to target the remaining office sales for the first half. I'll note about 80% of our overall office sale program is either closed or under binding contract. Another 10% to 12% of that is under contract in diligence and then the remainder is in progress. From a timing perspective, it really comes down to diligence can take some time on these. I'll note in a few jurisdictions in Europe, there's also statutory preemption periods that need to pass before the local jurisdiction approved the sale. So that's a little bit of it. But we're making very good progress, and the real heavy lift is complete. And so we're optimistic on our prospects to complete this imminently and working actively through it.
Toni Sanzone: And in terms of the guidance, I'd say the disposition timing really didn't have a material impact. I think, if anything, it was maybe about $0.01 from our initial expectations.
Smedes Rose: And then I just wanted to turn back just the pipeline a little bit. Obviously, you increased at the midpoint for the full year. But could you sort of quantify what you see as sort of your near-term pipeline? I think in the third quarter, you talked about maybe $400 million of sort of near-term visibility. Can you just speak to what you're seeing now and maybe just from the cap rate commentary in the near term?
Jason Fox: Yes, sure. I mean it's a little difficult right now to quantify the near-term pipeline. It's certainly building. It does include several large deals, but those are at, I'd call it, very early stages. So it's kind of difficult to translate that into a number, but we are off to a good start with the deals we closed, and we do like kind of the market backdrop for us right now, as explained a second ago with sale-leasebacks and a lot of seller supply there that we think is going to come to market. So yes, we feel pretty positive. I think cap rates -- the cap rates, at least in the U.S., we think, have been stabilizing over the last quarter or so. Interest rates came off the highs from October, the 10-year treasury is bouncing around -- in the low 4s. So bid-ask spreads have tightened. We think that translates into some more market activity. Last year, we were at 7.7%. For the fourth quarter, I think the full year was 7 -- 6%. So we've seen a little bit of an uptick. I think right now, we're targeting deals in the 7s that works for us from a cost of capital standpoint, certainly, we consider the liquidity that we have. And so yes, so I think Europe is maybe a little bit more dynamic. I mentioned that there's some steeper increases in the debt markets there over the past 12 to 18 months and a reversal of that more recently. I think at this point, we can probably borrow 100 to 150 basis points inside of where we can borrow in U.S. dollars, which you go back a quarter or two and that was at par. So we've certainly seen some tightening of rates in Europe, which allows us to get a little bit more aggressive on cap rates and with seller expectations adjusting, we think that's going to help bridge that gap and loosen up that markets. Put numbers on it, maybe Europe would be a little bit inside of where we're targeting in the U.S., but it certainly varies by country. Germany, for instance, is probably on the lower end of a range. And maybe a country like Italy, we can get a little bit more yield even though we're working with big kind of multinational companies in those markets.
Operator: Our question comes from the line of Mitch Germain with JMP Securities.
Mitch Germain: Jason, you mentioned some additions to -- or more emphasis on retail, maybe some additions to the team. Anything that you can share?
Jason Fox: Yes. I mean look, we've been diversified for a long time. I think we always explore new growth verticals. And we're focused on growing our opportunities that retail has always been a big part of the U.S. net lease market. Europe, I think it's been more consistently something that we've been active in. In the U.S., I would say, it's been more opportunistic when you think about some of the deals we've done in Las Vegas and other areas. So yes, so we've hired over the last year or so, several dedicated investment officers. They have lots of experience acquiring retail net lease and really deep relationships with tenants in the brokerage community. So given our scale, our reputation, we think we can take some market share. The market timing seems good. There's fewer competitors as a result of some of the consolidation that we've seen. And in some of the existing players are starting to reach exposure limits to certain segments and even specific tenants. So I think that we've heard from conversations with brokers and tenants that we're a welcome participant helped diversify their capital partners. And so we think it's a good time to ramp up, and we're optimistic that's going to be a contributor going forward to our deal volume.
Mitch Germain: You mentioned Hellweg, I believe you had suggested they ran a little bit high on leverage. And I'm curious if there was any other tenants in your portfolio that have either a similar business model or be a similar balance sheet structure?
Brooks Gordon: Yes. On Hellweg situation, that's a very tenant specific situation and really was caused by a few combined factors, one of which was a pull forward in demand through COVID for their business, combined with balance sheet and inventory issues. So I view that's really a tenant specific situation. In the broader portfolio, it's a huge portfolio and broadly diversified. There's tenants of every sort. But we think our watch list is really where we see the potential for default risk. And so hard to comment on any specific tenants there, but it's really a broad range of business models, balance sheets and regions and industries.
Operator: Our next questions come from the line of Greg McGinniss with Scotiabank.
Greg McGinniss : This is Greg from Scotia. Just regarding that large industrial lease that not falling out of guidance, was that an active negotiation and the tenant decided to use elsewhere or are they consolidating? Can you just walk us through kind of the lease negotiation process regarding typical timing -- and how close to the end of lease term tenants are typically resigning?
Brooks Gordon: Yes. This one was a very specific situation where they just needed to downsize. It was too big a building for them. So there wasn't a renewal negotiation. We do feel very good about that situation. It's an excellent building in the Chicago market. And as Toni mentioned, we're actively in negotiations there to release that. So we think that would be a good outcome in terms of more generally, we typically are pursuing lease negotiations with tenants anywhere from two to even five years before lease expiration, depending on the situation. And so it really runs the gamut. But this was a unique situation where great feel served them well, but it was just need a different size.
Greg McGinniss : So you were just expecting to have a different tenant moving in there earlier than you are getting one, which is why it had a negative impact on guidance, if you already know the moving out...
Toni Sanzone: Yes, that was not one of the changes that was baked into our initial guidance range. It was really the other credit issues that were not baked in. So that one was contemplated.
Greg McGinniss : And sorry, just to clarify for myself on Hellweg. You're providing a three month of rent at the old rate and then renegotiating to potentially, $26 million a year going forward?
Brooks Gordon: So to clarify there, we're -- it's a one quarter rent abatements of Q1 and an ongoing reduction as you described. We're also extending that lease to 20 years. And I'll note that, that's a similar structure that the other stakeholders are doing as well, so other landlords other than us. And so that really, in our view, shores up there their financial position substantially and really putting them on a better footing to pursue a robust turnaround plan. So that's really the proactive approach there to put them in a position to execute.
Greg McGinniss : And so what was the catalyst to doing this deal and realizing that, hey, their financial position is maybe not as good as we thought. Is that them reaching out to you?
Brooks Gordon: No. We get financial disclosure from all of our tenants. And when we saw late last year, their second half had deteriorated quite quickly that's when we really took that proactive approach. And again, I think that was a combination of factors that aligned. And Again, that's really a demand pull forward, which then dropped off quite quickly after COVID. A broader slowdown potential consumer spending and then an inventory mismatch. And so what we saw there was a risk that they could have a constrained liquidity position in 2024. And when they need to be buying inventory and really being aggressive. So we wanted to manage that situation as there are other landlords and lenders and working with the company itself. So all stakeholders have come to the table and put the company in a better place. From a status perspective, we're actively working on it. The deal is largely be and we're in kind of documentation mode. And so we expect we'll get that completed over the coming month or so.
Greg McGinniss : And last one for me. I saw you did a deal with Morrisons grocery store in the U.K. Curious if that's kind of open the door for you to be doing more business with them? We saw that they're doing other sale leasebacks? What's your comfort level with the financials there? There's just been some news that not quite operating to the level they once were? And then if you could just -- if you're able to disclose your level of exposure to private equity-backed tenants as well.
Jason Fox: Yes. So the deal with Morrisons, that was a relatively small deal. I kind of look at that more as a one-off opportunity. It was pretty opportunistic in nature and that we purchased it from a fund that had redemption pressures and had some liquidity needs. So we think it was a good opportunity to buy into. What we view as a very good location, solid unit level economics, and we think that helps mitigate any -- I'd say, the higher leverage that they're operating at. Could there be future deals there? Potentially, I don't think there's anything we're working on right now. It was not a -- So I wouldn't say there's a direct relationship there that could lead imminently to any new deals. But we've been active in grocery in Europe for quite some time, and I wouldn't necessarily rule it out.
Operator: Our next questions come from the line of Spenser Allaway with Green Street.
Spenser Allaway: Maybe just following up on the theme of pent-up seller demand you cited in both the U.S. and in Europe. Can you just elaborate on whether the trends either by property type or tenant industry?
Jason Fox: Yes. I mean I would say it's more of a broader theme and probably correlates a lot with sale leasebacks in terms of being a source of relatively cheap capital compared to many of the other options. We talked about wanting to ramp up retail. So we're hoping that we're seeing more opportunities there. I think that the theme is probably most relevant to industrial transactions that tend to correlate maybe most with sale leasebacks. So I don't think there's any broader themes than that right now.
Spenser Allaway: And then lastly, on the office front, and thank you for the commentary thus far. But has anything changed in terms of the conversations you're having with the ongoing asset sales in terms of buyer expectations since you initiated the process a few months ago?
Brooks Gordon: No. I'd say over this period of time, our expectations have remained very firmly in place. Timing has moved around a little bit on the final piece of this. But again, I think that's to be expected to a point, pricing is held in about where we thought. And so we're confident we can get that done and making good progress on the balance. And as I said, the large majority of that is already closed.
Operator: Our next questions come from the line of RJ Milligan with Raymond James.
RJ Milligan: Just a couple of follow-ups. Toni, I think you mentioned in the original guidance, what was contemplated for credit loss for '24? And how much of that has been stuff, just some of the known credit issues?
Toni Sanzone: Yes. I mentioned in my remarks that we're starting the year with an estimate of about 70 basis points of ABR for overall rent-related contingency. That did not -- as I mentioned, that's separate from the two tenant issues that I discussed that we quantified as having roughly a spent impact. So we did not have the $0.07 in our initial guidance, but the 70 basis points is more normal course for us, and that would be in the range of what we had assumed back in November.
RJ Milligan: So does guidance still assume 70 additional basis points or...
Toni Sanzone: Yes, the 70 basis points outside of the -- and that's really just kind of where we start the year. I mean I think there's tenant disruptions from time to time, we generally are relatively conservative and keeping tenants on a cash basis if they're disputing any kind of rent. So that's meant to cover all kinds of broad issues over the course of the year. There's nothing really specific eating into that right now outside and less separate from the Hellweg and the bankruptcy issue that Brook mentioned.
RJ Milligan: And then my second question is, obviously, a lot of questions on the watch list, but I just want to go back more towards the lease expirations. And so it looks like there's about $60 million of ABR expiring this year, and I realize some of that is U-Haul. But I'm just curious, as your discussions have gone with some of these expirations, are there any other material or major non-renewals expected for 2024?
Brooks Gordon: Yes. As you mentioned, U-Haul has been by far the biggest piece of our 2024 expirations and making good progress on a lot of the others. In any given year, we have a couple of renewals here or there, not sizable ones. I think it's potentially for non-renewals, a little under 50 basis points with ABR and actively working on those. So certainly, nothing material or the size of the warehouse we're working on re-tenanting right now.
Operator: [Operator Instructions] Our next questions come from the line of Joshua Dennerlein with Bank of America.
Farrell Granath: This is Farrell Granath on behalf of Josh in line. I was wondering if you could walk me through or elaborate on with the discretion and having kind of more capital on hand, would you be holding this cash and getting about like a 5.5% yield or paying down the 2024 maturity is at 3.5%.
Jason Fox: Yes.
Toni Sanzone: Gave a little color on that. Sorry, go ahead, Jason.
Jason Fox: That's okay. Yes. So in the short term, if we haven't deployed that capital in new investments, likely result in a little bit of delevering. But to your point, we can hold a lot of that in cash as well, given the returns that we can generate. I think the expectation is that we'll be at the low end of our target leverage range for probably the first half of '24, but we're not planning to delever longer term. We're still kind of targeting in the mid to high 5s on a net debt-to-EBITDA basis.
Farrell Granath: And I just wanted to ask about the 80 basis point decline in occupancy, is that being driven off of the bankruptcies? Or is there other aspects in that?
Jason Fox: Brooks, do you want to take that?
Brooks Gordon: Sure. No. The biggest driver is that warehouse. And so again, we're actively working on that. But that's really the moving part in the piece.
Operator: Thank you. At this time, I am showing no further questions. I'll now hand the call back over to Mr. Sands.
Peter Sands : Thanks everyone for your interest in W. P. Carey. If you have additional questions, please call Investor Relations directly on (212) 492-1110. And that concludes today's call. You may now disconnect. Thank you.
Operator: Thank you. That does conclude today's teleconference. We appreciate your participation. You may now disconnect at this time.